Operator: Good day ladies and gentlemen and welcome to the first quarter 2010 ACCO Brands earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Ms. Jennifer Rice, Vice President of Investor Relations.
Jennifer Rice: Good morning and welcome to our first quarter 2010 conference call. On the call today are Robert Keller, Chairman and Chief Executive Officer of ACCO Brands Corporation, and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of www.accobrands.com. These slides provide detailed information to supplement this call. Our discussion this morning will refer to results for continuing operations and on an adjusted basis, which for 2009 excludes all restructuring and other charges, and for 2010 applies a normalized effective tax rate of 30%. A reconciliation to all adjusted results to GAAP can be found in this morning’s press release. During the call, we may make forward-looking statements, and based on certain risk factors, our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of those factors. Following our prepared remarks, we will hold a Q&A session. Now, it is my pleasure to turn the call over to Mr. Keller.
Robert Keller: Thank you Jennifer, and good morning everyone. Earlier this morning we released our first quarter results, which I believe reflect the progress we continue to make in improving our customer relationships, taking market share in key categories and channels, and maintaining cost discipline. Our reported net sales increased 6%, but more importantly volume was down only one-half of a percent. Each of our three business segments recorded operating income gains with computer products delivering a notable 53% improvement. In total gross profit margin expanded by 210 basis points over the prior year first quarter in spite of inbound freight increases from Asia, and increasing raw material costs and operating income increased 29% on a comparable basis. EBITDA increased 22% to $33.1 million, per share earnings were $0.03 based on a normalized tax rate for the year versus a loss of $0.02 in the first quarter of last year. Our results this far are consistent with our expectations for the year. Market share gains in last year’s line reviews have helped us offset the lack of meaningful growth in consumer and business spending. We continue to believe that durable sales will rebound before consumable product sales and while we’re cautiously optimistic about early signs of a durables recovery, its too soon to call this a trend. We continue to focus on our customer service performance and for the first time in our history Staples recognized us with its Customer Experience Award, marking another milestone in our significantly improved relationship with them. We were also named as a Xerox Partner of the Year in our category and just last week a very important European buying group, Quantor, named us Vendor of the Year. Our outlook for the business in 2010 remains unchanged. While the volatility of currency especially the current weakness of the European currencies is a concern, we continue to expect to grow revenue and profitability this year. Our gross margin should expand by 200 to 300 basis points in 2010, faster than our SG&A cost rise despite the normalization of compensation expenses and a planned increase in marketing costs to drive end user sales. EBITDA margin should increase by roughly three quarters to a full point this year over 2009 results. Our long-term goal is still to deliver EBITDA margins of at least 15% to 16% on a sustainable basis as business optimism and white-collar employment improve. While we’re pleased with the progress we’ve made we appreciate that we’ve got a long way to go. We expect the global economic environment to remain challenging and our ability to hit our targets remains dependent on our continued focus on improving our service and value to our customers, on competing vigorously for all new business opportunities, on aggressively defending our existing business, on carefully managing our expenses, and by continuing to invest in new product innovation and introduction. Now Neal will provide a more detailed look at our results.
Neal Fenwick : Thank you Robert, our first quarter performance is recapped on slide five, reported sales increased 6%, currency adding eight points. Volume declined only half a percent significantly less than in the last several quarters, and in line with our expectations. Share gains reduced the effect of softer market demand. Adjusted gross margin increased 210 basis points to 30.6%. Favorable mix accounted for 90 basis points of the improvement. Commodity costs which had been extremely unfavorable last year accounted for 70 basis points of improvement. SG&A was higher in the quarter as expected, increasing 11%, or 90 basis points to 23.1% of sales. Foreign exchange translation added $4 million to SG&A. Salary, benefits and incentive costs increased $9.1 million, mainly due to temporary reductions in the prior year. This cost increase was partially offset by costs savings. Go to market expenditures were up modestly. All in operating income improved 29% on a comparable basis with margin expanding 120 basis points to 6.9%. Contributing to operating income was $3.7 million of year over year benefit from foreign exchange translation. EBITDA increased 22% to $33.1 million, in line with our forecast and EPS from continuing operations was $0.03 using a normalized tax rate of 30%, versus a comparable negative $0.02 in the prior year quarter. Our actual reported tax expense and rate are now very volatile quarter to quarter and for the year should approximate 50%, even though cash taxes should be similar to last year. Slide seven shows the details behind the change in margin that I just discussed. Turning now to an overview of our segment on slide eight, in the Americas sales increased 1% and volume declined 1%. This was dramatically improved trend from the past two years. Its also notable that market share gains have helped to offset continued declines in underlying demand. Operating margin for the Americas increased 110 basis points to 5.2% despite higher employee compensation costs as a result of lower year over year commodity costs and cost reduction activities. International segment sales increased 12% all of which was currency driven and importantly volume declined only 2%, again a rate much lower than in previous quarters. Europe continues to see lower demand but a mitigating rate and our Asia Pacific delivered another quarter of sales growth. International segment margin increased 90 basis points to 9.1% due to a combination of gross margin expansion from the elimination of commodity and currency imbalances with sales price and from cost reductions. Computer product sales increased 12% and volume increased 7% driven by strong sales of computer security products. Computer products operating margin improved 540 basis points to 20.4% principally due to substantial improvements in gross margin from favorable product mix. Turning to our cash flow on slide nine, we saw the normal seasonal cash outflow in Q1. We faced $33 million in interest payments on our notes and made an $8 million early contribution to our pension plan. We finished the quarter with only $15 million of borrowings on our ABL. Turning to our outlook for 2010 on slide 10, this remains unchanged. We continue to expect EBITDA margin expansion between three quarters and a full point. The increase will the result of gross margin expanding at a greater rate than SG&A. The normalization of year over year changes in input costs, currency, and cost savings should result in approximately a point of gross margin improvement mainly realized during the first half of the year. We would expect a further one to two points expansion from the numerous initiatives including freight and distribution and supply chain execution tactics that we have previously discussed, mostly to be realized in the second half of the year. SG&A will increase by approximately a point and a half to two and a half points. The normalization of our 2009 cost base including compensation and benefit plans represents about a point of the increase. As announced in the fourth quarter we have also increased compensation to repay employees for the 2009 pay cuts, and reinstated management incentives. Our management incentive programs are designed to ensure we deliver improved returns to shareholders and before we approve any management incentives. Importantly we continue to invest in selling and marketing to capture improvements in demand. Overall our profit improvement will be fairly even throughout the year with a slight acceleration in the back half as our top line share gains are fully realized. Longer-term, as our volume recovers we will further leverage our leaner cost model, reducing our SG&A costs as a percent of sales. In terms of cash flow, we continue to expect approximately $50 to $60 million in free cash flow in 2010 predominantly in the second and fourth quarters. Q3 will be a cash outflow quarter due to our new interest payment cycle and seasonality. This outlook includes an estimated $9 million in restructuring cash payments associated with expenses accrued on the balance sheet. We will not have any new charges in 2010 beyond reserve true up. Capital expenditures should be approximately $20 million in 2010. By year end I anticipate that our net leverage ratio will be in the upper 3x, but our objective remains to reduce it below 3x as our profit continues to improve and net debt declines. At this point Robert and I will be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of William Chappell - SunTrust Robinson Humphrey
William Chappell - SunTrust Robinson Humphrey: First on the gross margin not to take away from a 200 basis point improvement but I kind of expected this to be the easiest comparison on a year to year basis with commodity costs and cost of inventory was this kind of as you expected or was there anything holding that back for the current quarter.
Robert Keller : No it is largely in line with our expectations. There were some puts and takes and we didn’t see some of the benefit we expected from the [inaudible] system that we put into Europe in the back of last year and we think we’ll get the benefit of that probably kind of mid year and beyond. We were hoping to see some of that this quarter but our story is we’re going to expand gross margins and we’re going to manage SG&A and net, net we’re going to grow EBITDA and that’s kind of what we’re focused on.
William Chappell - SunTrust Robinson Humphrey: Kind of looking at the sales number certainly encouraging but I’m just trying to understand is there any way to break out how much of it was customer wins versus what the underlying category growth is.
Robert Keller : On the chart that we provided we do break that out for you. Its on the first quarter 2010 revenue drivers chart, there’s $7 million in market share gains.
Neal Fenwick : And that’s a net number because there is some anniversary of some things that occurred in the middle of 2009 which had negatively reducing that, which is why you’ll see more share pick up in the second half than in the first.
William Chappell - SunTrust Robinson Humphrey: Have there been any new customer wins during the quarter that would help pad this year or even into 2011.
Robert Keller : We’re really just at the front end of the line review cycle, we think we’ll have a better sense of that at the next quarter earnings announcement.
William Chappell - SunTrust Robinson Humphrey: And going back to my original question, what is your sense of the industry, have we bottomed, are we seeing any pick up, is it just too early to tell, what’s kind of your stated state.
Robert Keller : We feel good about our progress. I think we’ve been, our perspective has been that this is going to be a challenging year and that our expectation for the industry as a whole is its going to be down low single-digits and that we’ll be up, so we’re kind of factoring in the fact that we’ve got market share gains but we’re not feeling comfortable enough to declare victory at this point in time. When we look at the first quarter January was a pretty solid month, February was a weak month, March was a terrific month, and so its lumpy. That said, we’re not expecting things to get worse than where we are and as we’ve kind of been indicating, we see points of indication that the durables market is starting to recover a little bit and that will help us.
Neal Fenwick : Its also different geographically and so as we’ve said many times we’ve seen a lot of strength in Australia or Asia area, we’ve seen a lot of weakness in the European area and that hasn’t changed.
William Chappell - SunTrust Robinson Humphrey: On SG&A you said of the 1.5 to 2 point increase that a point of that would be higher salaries, higher compensation, what’s the rest of that and then the other question is on interest expense, I think you’re targeting $80 million but starting this quarter you’re looking at a little bit below that on a run rate, did I miss something on the seasonality of that.
Neal Fenwick : The one point is from normalization of pay, but its worth understanding that we also have to normalize our incentive comp which is a big addition which is variable and if you look at the total SG&A there were really three drivers of SG&A normalizing. There’s normalizing people’s basis salaries and benefits programs, then there’s putting back in management incentive program which will be based on our performance, and therefore it’s a variable cost. And then there’s supporting sales growth initiatives that we want to see and so you get a, those three elements into play throughout the year which will come into play as we see different performance and part of our accruals in Q1 were for incentive comps which we didn’t have any of in the prior year.
Robert Keller : Also in Q1 on the salary side, we ran for six weeks in the first quarter of last year at 50% salaries and we normalized salaries and gave the people that had that impact a salary increase and so in the first quarter there’s a $9 million compensation difference just on salary.
Operator: Your next question comes from the line of Arnold Ursaner - CJS Securities
Arnold Ursaner - CJS Securities: Staying right on that same point, the incremental $9 million of SG&A spend I think you just said the majority of the $9 million was salary increases getting back to base, but you’re got roughly $13 million or so of cliff incentive payments for management, can you break down or would you care to break down the amount that was accrued in Q1 that would be, and I assume that’s completely incremental versus last year.
Neal Fenwick : So out of the $9.1, about $2.5 million of it relates to incentive payments which would be dependent on our full year performance and so the rest of it is really related to normalization of base pay and benefits.
Arnold Ursaner - CJS Securities: And to clarify since it was a very confusing issue to some of your analysts on the last call, that $13 million is a cliff payment that will only be paid if you exceed certain EBITDA goals, meaning if you get towards the end of the year and you’re not at that level, that $13 million or so would reverse. Is that right way to think about it.
Robert Keller : That’s exactly the right way to think about it. And we think for the management teams get paid incentives we need to deliver to our shareowners.
Arnold Ursaner - CJS Securities: I know your revenue guidance excludes the impact of FX but obviously right now with the volatility around the euro, that’s quite a different dynamic than it might have been even a month or so ago, so can you just remind us of the impact of FX over the last few quarters of last year and if it were to stay at current levels, what the impact would be on this year’s revenue.
Neal Fenwick : Probably easier is to give you a better view as to how its going to impact, and so foreign exchange has moved around a lot in a short period of time and from a top line perspective we would be expecting the current year even using today’s very low rates to still benefit by at least two points plus. At some point its been as high as five points and so our assumption coming into the year was we would get about three to four points of gain and we’re currently looking at more like two, and if you ask me on other days it looked more like five. From a bottom line perspective Europe is one of our weaker profit areas and so we still will get two thirds of the bottom line benefit that we were expecting even at today’s weak euro rate because other currencies such as the Australian dollar, Canadian dollar, and Mexican peso are actually strong against the dollar and therefore from a bottom line perspective we would still expect to pick up something close to $6 or $7 million of bottom line contribution.
Arnold Ursaner - CJS Securities: And that is not imbedded in your general views of EBITDA at this point.
Neal Fenwick : That is included in our general view of where we will come in for the full year and obviously it features into what we would accrue in terms of our incentive comps, etc.
Arnold Ursaner - CJS Securities: Just freshen us up on the mass market rollout, I know you won a number of contracts but you can’t ship product in these various categories until your client replaces the inventory they have of the previous supplier, so if you could update us on where we stand on the rollout.
Robert Keller : We’re very pleased with progress we’ve made in the mass channel. The categories, the stapling and board categories that we won last year at Wal-Mart are rolled out across all their stores. That implementation is going very well. We’re very pleased with the progress in that relationship and I think they are too. Sales are at or above both our expectations and we are performing at or above their service level requirements. The binder business that we won at Target, we’re kind of at the point of the first reorder cycle, that is on track. Again we are at or above all of their expectations in terms of operational performance which was key relative to that win.
Arnold Ursaner - CJS Securities: More structural question, the company has spent a great deal of time, money, and effort over the last two to three years cutting your costs, and now that we’ve beginning to see a recovery can you kind of remind us of your focus on not letting costs creep back up and how focused you are on sustaining the efforts you’ve made over the last few years to keep your various controllable costs just that, controlled.
Robert Keller : That sounded like a pretty good hint, the answer is yes, we’re not going lose sight of it. We’re pleased with the progress that we’ve made to date, frankly across a broad spectrum of issues. But the fact that we had a decent quarter doesn’t change the focus. And we think the way that we take this from being a decent quarter to being to a decent year is keep doing the things that we’ve done well. Take good care of our customers, improve our operation performance, manage our expenses very, very carefully and bring new product to the marketplace and compete vigorously for all business.
Neal Fenwick : Just one point of clarification from me, I slightly misheard your question, from a sales top line perspective FX was not part of our guidance that we gave, so we were looking at, I’ve always said that we anticipate sales growth and then FX would be on top of that.
Arnold Ursaner - CJS Securities: But going to that point, if FX were to stay at or near current levels, that would be a nice tailwind for you at this point, is that correct.
Neal Fenwick : Correct, it would give us another couple of points of growth.
Operator: Your next question comes from the line of Reza Vahabzadeh - Barclays Capital
Reza Vahabzadeh - Barclays Capital: Just in terms of the overall results and then maybe some key indicators, would you say that the first quarter results, EBITDA sales or any other key metrics were in line with your expectations, ahead of estimates or below.
Robert Keller : We’re pleased with first quarter and the thing that we don’t want to do and we don’t want you to do is to get ahead of ourselves. If this had been a quarter where we started okay in January, built momentum in February, and had a great March, we think it could be projectable going forward, it wasn’t that kind of quarter and as I said earlier, we had a solid January, February was very weak and March was very strong. We think in aggregate the quarter is reasonably representative of point of sale but we’re not at a point where we feel good about projecting it forward and frankly we’re managing the business not on a full year basis but on a week to week and month to month basis at this point.
Reza Vahabzadeh - Barclays Capital: And then when you talk about the gross margin drivers for the quarter year over year, is the mix component and the cost savings component going to continue at this pace or will there be some moderation of that.
Robert Keller : We think the mix was positive in the quarter and based on how we’re trying to drive sales through our customers we’d anticipate we’d have an opportunity to maintain kind of a favorable mix as we move forward. We think there are opportunities on the operational side of our business to improve over how we performed in the first quarter and we’re focused on that.
Reza Vahabzadeh - Barclays Capital: Is the cost savings component that you are highlighting here and on a go forward basis, is that supply chain and manufacturing or is there more to that.
Robert Keller : There is more to that, we’d rather take cost out of the business by being more efficient than take cost out of marketing programs to help our customers drive volume or compensation ultimately, and so we’re focused on doing the things to improve the efficiency and effectiveness of our business.
Reza Vahabzadeh - Barclays Capital: And then how are things unfolding on the new product shipment front, is there going to be some tangible progress made on that this year.
Robert Keller : We have an aggressive rollout planned for the year and we’ve said all along we believe and our customers have reiterated the fact that product vitality is a critical component in the value chain that we bring and so we’re not going to lose focus on that. We budgeted last year for an increase and we thought that paid dividends, we budgeted for an increase in product development capabilities this year and our expectation is that will pay dividends as well.
Operator: Your next question comes from the line of Derek Leckow - Barrington Research
Derek Leckow - Barrington Research: I’m listening to your comments on revenue and revenue visibility and I’m just having a bit of a hard time here, I wondered if you could give me your sense for how that visibility, has it gotten worse, or gotten better. It sounds like we’re getting closer to our customers, we’re getting closer to preferred supplier status at a number of big customers, I’m just having a hard time understanding why it sounds like your message is that your visibility really is still week to week, month to month. Why is that.
Robert Keller : It really isn’t that, we do have significantly better relationships with our customers and we have a better perspective on their view of the world economy and its impact. We just think that getting ahead of ourselves and losing touch with the things that have gotten us the progress that we’ve exhibited over the last 18 months would be a mistake. And so we’re trying to manage the business conservatively and then compete aggressively and we think that’s the right answer.
Derek Leckow - Barrington Research: And then just looking at slide number six on the revenue drivers, I’m noticing that price was a negative factor here and I think you characterized the guidance as being at two or so percent I assume that’s volume and price, but are you assuming any movement in either volume or price in that number or is that sort of just normal improvement in inventory levels from basically economic effects or are you talking about actually seeing some growth in volume there.
Neal Fenwick : Remember for us there’s a lot of our international businesses that the movement on the dollar is a big issue from cost of goods point of view. And so if you look at the significant strengths we’ve seen in things like the Australian dollar, we had to significantly reduce prices in Australia back in Q4 as a result of that. So you’re seeing a lot of negative price flow through from some of the international currencies which is really harmonizing what’s happening with the dollar. You will also see the reverse of that effect come through in Europe as the euro stays so weak. It will put cost pressure on us and it’ll mean that we have to raise prices accordingly. From a US perspective a lot of what you saw was some price reductions that went into effect as part of things like the move back to branded bindery as a good example where effectively we did a conversion back from private label to branded but at a lower than normal price for branded goods and made share gains as part of that trade off. And so as far as we’re concerned there is a negative price element coming through the first half of the year and you’ll see some positive price offsetting that in the second half of the year.
Derek Leckow - Barrington Research: Is that a function of just the compare—
Robert Keller : --the price to be neutral.
Derek Leckow - Barrington Research: You’re expect price neutral for the year on a consolidated—
Robert Keller : Yes, [inaudible] we think its just about flat. We expect to get a little bit of a lift in terms of price based on the transportation cost increasing coming out of Asia which is an across the board phenomena and some level of increase based on raw material price increases that should get reflected in the second half of the year. So our expectation for the full year is neutral on price.
Derek Leckow - Barrington Research: And if we were to start to see an improvement in white collar employment growth and I’m not sure if this makes sense to think about it on a consolidated basis, maybe on a country by country basis, but just wondering what that might do to ordering on the part of your customers, have they given you any kind of better visibility on their needs to increase their inventory levels.
Robert Keller : No, you know what, I think if there’s a good thing about the recession, its forced everyone to be more efficient. I think our customers feel good about their inventory levels, feel good about their customer service levels. I think we have performed very consistently and at very high levels for the year. Their expectation is that we’re going to continue to do that and so we don’t expect a restocking and the one caveat to that is that the higher end durable binding and laminating equipment, those inventories are running at very low levels throughout our channels, and there may be some lift there. But I don’t think it would be material to our results.
Operator: Your next question comes from the line of Mark Rupe – Longbow Research
Mark Rupe – Longbow Research : As it relates to the flow of demand or revenue through the first quarter, you said January good, February a little bit weaker and strong March, any of the regions, channels, products, act any differently through that flow through the quarter. I’m just trying to get an idea on the durable side, you’d said something to the effect you don’t want to call it a trend or anything, did it act any differently then the rest of the business during the first quarter.
Robert Keller : No, I think we had some excess inventory in the channels falling over from the Christmas season and that kind of slowed down the buy in of our product from our customers in January and February. We think there was a catch up in March and so we look at the quarter as a whole and think point of sale and buy in are still on track and so we don’t see any change in terms of our customers’ expectation for managing inventory levels. As Neal mentioned Australia was strong, our businesses there continue to perform very, very well. Europe is still soft and specifically Germany is soft. We saw our first signs of recovery from Eastern Europe at the tail end of the quarter and so we had parts of that geography that have just been dark for six or more months, that we got our first orders in a long time, and so that was positive. As Neal said Asia Pacific came back, US has performed basically on expectation, Canada and Latin America are kind of on expectation marginally better than the US.
Operator: Your next question comes from the line of Arun Seshadri – Credit Suisse
Arun Seshadri – Credit Suisse: First I just wanted to talk a little bit about your updated industry forecast and you kind of told us that you’ve been expecting flat to down industry and you continue to take market share, could you update us on that and your expectations for overall and then your share gain expectations.
Robert Keller : We’re exactly where we’ve been for the last four or five months, and the early releases that we’ve seen in the last 24 hours haven’t changed that at all. So our expectation is that the industry as a whole is going to be a couple of points down and we’re going to be a couple of points up in terms of real growth. We expect to take market share during the course of this year in line reviews and that those will get reflected in 2011.
Arun Seshadri – Credit Suisse: And then on supplier consolidation, rate and distribution and supply chain, could you, I think you’ve previously talked about roughly 150 basis point improvement in that year over year expectation-wise, could you talk about what that was on a quarter over quarter sort of year over year basis for Q1.
Neal Fenwick : For Q1 overall freight and distribution we saw no benefit. We got a small improvement in our distribution cost but it was offset by higher freight costs.
Robert Keller : And that was partly driven by fuel costs but it was also driven by the fact that we didn’t get the gains that we expected out of our European distribution facility in terms of efficiency improvements that we had budgeted for in the first half that we won’t see until probably the beginning of the second half.
Arun Seshadri – Credit Suisse: And then in the computer products segment noticed that obviously very strong operating income growth there and favorable mix, could you give us a little bit more color around that and what we should be thinking about in terms of growth there for the next, for the balance of the year.
Robert Keller : I think that’s one of the points that we look at in terms of the durables recovery. I think the computer products industry as a whole had a pretty good quarter. The sale of laptops and net books just went up, that ties pretty closely to our security business which is a terrific business for us and we saw strong growth there. We had a focus on it and we saw the results that we expected.
Neal Fenwick : And a big schism between everywhere apart from Europe, Europe was actually still negative for computer product durables.
Arun Seshadri – Credit Suisse: And finally I just wanted to reconcile your free cash flow guidance, it looks like street consensus is around 165 of EBITDA and if I work my way through your modeling assumptions free cash flow, 20 of CapEx, cash restructuring of 9, interest of 80, and taxes of 20, that implies that working capital you expect something of the order of close, at least $20 million of a working capital source this year, am I doing that correctly and could you update us on what you think about working capital.
Neal Fenwick : Working capital we said would be a small source, your numbers are a little high compared to mine and so I would recommend you look a little bit at slide 11 where we lay out a lot of the detailed numbers.
Operator: Your final question is a follow-up from the line of Arnold Ursaner - CJS Securities
Arnold Ursaner - CJS Securities: What percent of your revenues come from Portugal, Greece, and Spain if you have a sense of that number.
Neal Fenwick : Miniscule.
Robert Keller : Tiny, we don’t expect that to impact us directly.
Arnold Ursaner - CJS Securities: And there’s been a tremendous amount of talk about revaluation of the Chinese currency, how would that effect your transfer payments or other factors, if there were a meaningful revision in the currency there, how would it effect you.
Neal Fenwick : The global commodity costs are unaffected by the renminbi changing. The dollar or euro denominated at a base cost and so the vast majority of what we buy from China is the basic commodity cost reprocess. The area that the renminbi revaluation effects us is on the, let’s call it the added value that gets made in China, it’s the additional labor costs and their profit margin. And therefore it does come through as an inflationary driver, its just less big than I think people would think because you have to exclude the raw material side of the equation when you’re doing the calculation. But like all steps out of recession, you tend to see inflationary headwinds start to build and we’re starting to see those and we’re going to have to respond with pricing as necessary in order to deal with that.
Arnold Ursaner - CJS Securities: But do your contracts have specific adjustments tied to currency changes of that magnitude or not, it’s a negotiation with each individual contract.
Robert Keller : It would be a negotiation with each contract.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Robert Keller : Thank you all for joining us today. We look forward to reporting on our progress at the end of next quarter, talk to you then.